Operator: Good morning. My name is Gracie, and I'll be the conference operator today. At this time, I would like to welcome everyone to United Therapeutics Corporation 2016 Fourth Quarter and Annual Financial Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Remarks today concerning United Therapeutics will include forward-looking statements representing the company's expectations or beliefs regarding future events. The company cautions that these statements involve risks and uncertainties that may cause actual results to differ materially. Please see the company's latest SEC filings, including Form 10-K and 10-Q for additional information on these risks and uncertainties. The company assumes no obligation to update forward-looking statements. Today's remarks may also include financial measures that are not prepared in accordance with U.S. generally accepted accounting principles. Reconciliations of the non-GAAP financial measures to the most directly comparable U.S. GAAP financial measures can be found in our earnings releases available on our website at www.unither.com. Finally, please note that today's remarks may include reporting on the progress and results of clinical trials or other developments with respect to the company's products. These remarks are intended solely to educate investors about the company and are not intended to promote the company's products, to suggest that they are safe and effective for any use other than what is consistent with their FDA approved labeling or to provide all available information regarding the product, their risks, or related clinical trial results. Anyone seeking information regarding the use of the company's products should consult the full prescribing information for the product available on the company's website at www.unither.com. Thank you. Dr. Rothblatt, you may begin your conference.
Martine A. Rothblatt - United Therapeutics Corp.: Thank you, operator. Good morning, everybody. I'm joined this morning by James Edgemond, our Chief Financial Officer. And I'm pleased to report our 2016 fourth quarter and annual financial results. Our annual 2016 financial results reflect continued growth as net revenues reached $1.6 billion and earnings exceeded $700 million. These financial results strengthen our ability to develop and advance our growing product pipeline, which includes seven Phase III programs and multiple second generation Remodulin drug delivery systems. Just a moment, I'll open up the lines for any questions directed to James or myself. But first, let me provide three highlights of the past quarter and year. Those three highlights I'll talk about are quarterly trends, pipeline progress, and the acquisition of our largest competitor by Johnson & Johnson. So, first, with quarterly trends. The quarterly trends for the fourth quarter were down from the third quarter, but this is a typical quarterly choppiness that we see with our sales. In fact, I look back five years and for the past five years every single quarter, third quarter or the fourth quarter, Remodulin and Tyvaso were sequentially down before turning back around again in the subsequent year. So there is nothing interesting to be read into that. More generally in terms of quarterly trends, growth is still slower than we would like as a result of the backlog of patients who are still doing adequately well on either Adcirca, Letairis and more generally, the combination of Adcirca plus Letairis, which is known as the AMBITION protocol or selexipag. You may notice a large increase in Adcirca sales over the past year and this is because more and more patients are taking Adcirca in combination with Letairis for longer and longer periods since the AMBITION study showed that the combination of Adcirca plus Letairis reduced morbidity and mortality from pulmonary hypertension. So it's only natural that while before those drugs were out, patients would move on to Orenitram, Tyvaso and Remodulin more rapidly. Now, the movement is more slow, because the patients are doing better for a longer period of time on Adcirca, Letairis and then most recently selexipag. However, once the patients do get on to Tyvaso and Remodulin, their length of time on that – on those drugs has stayed about the same. So, what you have is a mathematical situation where the rate of patients coming on to Tyvaso and Remodulin is slower than or not as fast as it used to be, but the rate of people going off of Tyvaso and Remodulin is the same as it used to be, and hence there is a temporary, short-term slowing of growth and even decline in the case of Tyvaso. However, we're entirely confident that this matter will resolve, because neither Adcirca, Letairis nor selexipag are in any way, shape or form cures for pulmonary hypertension. In fact, mortality on selexipag, while not statistically significant, was actually higher in the treated group than in the control group. So there's nobody claiming that those oral drugs are cures and hence as the patient's disease progresses, the only place for them to go are on to the inhaled and the parenteral therapy of which United Therapeutics drugs have roughly 70%, 80% market share between Tyvaso and Orenitram. We expect this backlog to resolve later on in 2017 and in fact, it will cross a bolus of growth to Orenitram, Tyvaso and Remodulin as we move from 2017 into 2018. The more patients that are captured up on the oral drugs, the more patients it will be – that will be progressed on to Orenitram, Tyvaso and Remodulin. So, first point, quarterly trends temporary, reflecting backlog will resolve in 2017. Second point, we had a tremendous amount of progress in annual 2016 that reaffirms and I think strengthens in many ways our confidence that four of the drugs in our pipeline have $1 billion peak revenue potential: Remodulin, Tyvaso, Orenitram and dinutuximab. So starting with Remodulin. During 2016, we made continued progress with the RemoSynch system, the RemUnity system and the RemoPro system and that progress is reflected in the fact that we are continuing to look forward to a PDUFA approval of the implantable pump in April of this year, 2017, shortly thereafter an approval of the drug Remodulin together with implantable pump as a drug device NDA approval. And all of the reports we get from the patients are that – and from the doctors are that these systems are going to be double the number of patients on Remodulin. I was going to actually read a beautiful letter from a patient who shifted over from Remodulin to the implantable and how it got her life back. But I – interest of time, I didn't want to read the letter. In addition, the RemUnity system continues to be right on schedule for our expected 2018 approval. And another really exciting thing, RemoPro is moving ahead so quickly. This is the pain-free new chemical entity version of treprostinil that clinical studies are actually now scheduled to begin this summer, summer of 2017. So RemoPro is advancing very quickly and will be a revolution and this type of drug to be able to have administered subcutaneously without side pain. So between RemoPro, RemUnity, RemoSynch, three proprietary second generation systems, I think of a (9:33) doubling of Remodulin sales from currently in the $0.5 billion range to the $1 billion range. Then, next one which is also looking extremely promising is Tyvaso. Tyvaso is now all but fully enrolled. I believe there is about 10 patients left to enroll in the BEAT trial that has – it's the first ever clinical trial to test the treatment of pulmonary hypertension simultaneously from both the airway side and the blood side. That's never been done before and it's Harkins (10:14), I think, extremely promising way to slash the morbidity and mortality of pulmonary hypertension because this is a disease whose symptoms manifest themselves on both the airway side and the blood side. So we will wait until the number of patients necessary to accrue to declare that that BEAT trial for Tyvaso, combined with Tysuberprost is successful. But if so, by itself it would certainly Harkins (10:50) a very large number of patients being moved on to that combination as early in their disease process as possible to halt the morbidity and mortality of pulmonary hypertension. That alone will turn around the trend line on Tyvaso. But in addition, we've begun enrolling patients in a Phase III trial of Tyvaso for a version of interstitial lung disease which manifest pulmonary hypertension. This is a completely different disease from the pulmonary hypertension treated by ourselves and all of our competitors today. In fact, there is no drugs (11:28) all approved for what's called WHO Group 3 pulmonary hypertension associated with interstitial lung disease. Interstitial lung disease ranges from things like – well, probably one of the most famous is idiopathic pulmonary fibrosis. So we had an excellent Phase II study, led by Dr. Waxman up in Massachusetts and that will be moving on. That has already now moved on to a Phase III trial. Patients are being randomized. And statistics show that there are 30,000 patients who are dying regularly, mean survival of just a handful of years from Group 3 PAH with no approved medicines. So with our INCREASE trial, which is our trial in pulmonary hypertension with ILD is successful, it would be a completely virgin so-called blue water type of opportunity for Tyvaso to move into. And capturing as few as a fourth or a third of those patients would result in revenues at the $1 billion level, not to mention the continued growth of that drug in Group 1 pulmonary hypertension when given in combination with esuberaprost if our BEAT trial is successful, which we should know by, hopefully, at the end of this year, if not the very beginning of next year. The third pipeline opportunity which looks good for $1 billion in peak revenues is Orenitram and that drug has always been developed pursuant to our philosophy of approve and then improve, meaning that we wanted to get the drug approved so patients could benefit from it, patients needing treprostinil, but not able to handle or tolerate a device which has an alternative. And then our strategy was then to conduct a much larger study to improve upon the label and demonstrate its efficacy for reducing morbidity and mortality. Now, this FREEDOM-EV study, it too is moving swiftly to conclusion. In fact, we forecast by this summer we will hit 154 events, which is one of the opportunities to complete the study, if there is a morbidity, mortality difference at the 154 events, and if not, all is still good. There will be the – pursuant to the statistical analysis plan, a second opportunity to check the number of events on a larger number of patients, which we would hit that second opportunity by the end of the year, maybe the very beginning of the next year, so very exciting possibility this summer to be able to know for sure that Orenitram reduces morbidity, mortality. Of course, there are now upwards of, I think, 30,000 to 40,000 patients with just Group 1 pulmonary hypertension, not even mentioning the 30,000 with the Group 3 I referred to previously, and so even though I spoke in about the revolutionary nature of the RemoSynch, RemUnity and RemoPro products and that the great promise that Tyvaso has in conjunction with esuberaprost with 30,000 to 40,000 patients growing several percent a year, there are more than enough patients to go around – for patients to achieve the revenue targets I was mentioning for both Orenitram, Tyvaso and Remodulin. And let me mention that the Orenitram peak revenue forecast is not even dependent itself on the FREEDOM-EV study, because during the calendar year 2016, I mentioned we made a lot of pipeline progress, two of the most exciting advancements we made were launching Phase III studies in disease called HFpEF that's an acronym for heart failure with preserved ejection fraction, and this study being led by Dr. Garber out of NOVA (16:16) in Virginia. We'll test Orenitram in patients with what's called WHO Group 2 pulmonary hypertension or pulmonary hypertension in the context of left heart failure, and hence we launched the SOUTHPAW Phase III study to test that hypothesis. Also, it's been very well-known for quite a while that the patients with sickle-cell disease die at a kind of very bimodal rate. Those patients with sickle-cell grow pulmonary hypertension very rapidly, and those who don't can live very much longer. So this bimodal distribution has attracted a great deal of interest and really the leader in this area has been Dr. Mark Gladwin over at UPMC medical center in Pennsylvania and Dr. Gladwin is leading our efforts to test Orenitram in what's called WHO Group 5 pulmonary hypertension which is pulmonary hypertension in the context of sickle-cell disease. So between the sickle-cell patients and the heart failure patients these two new Phase III trials, all of which are up now on ClinicalTrials.gov, there are a huge number of people who could benefit from Orenitram and we feel that a $1 billion peak revenues is actually quite a conservative forecast, given these large untapped patient populations and the fact that these Orenitram is already in advanced clinical trials for treating these patients, and we could be well looking in – in fact, twice that level of revenues. Fourth and finally, let me get to our newly developed ganglioside platform. This is a fascinating molecular platform. We won't have the time in this call to go into all of the chemistry details on it. But we have already achieved approval for the – for a first key agent off of this ganglioside platform, our Unituxin drug known as dinutuximab for neuroblastoma. We have now commenced a Phase III trial of this product for one of the strongest responding (18:54) GD2-expressing cancers, small cell lung cancer. So that would be the first non-neuroblastoma target of ganglioside. Our business development folks have taken a look at the nearest term opportunities for this ganglioside platform, and even looking at the lowest hanging fruit, the small cell lung cancer, ovarian cancer, orphan forms of melanoma. They were readily able to come up with even conservative market shares, indicating over $1 billion in peak revenue potential. So that's the fourth of our examples of significant pipeline progress during 2016 resulting now in four different products in late stages of clinical development with $1 billion or greater peak revenue potential. Let me turn now to the third point I mentioned at the beginning, one of the most exciting things that happened right at the end of 2016 and then to, I guess, the beginning of 2017 was the taking out of our long time and largest competitor, Actelion by Johnson & Johnson. And we see this as a very good event for United Therapeutics and indeed for the pulmonary hypertension field generally. First, let me say that whenever kind of a smaller team like Actelion is replaced with a larger team, I would say a very, very larger is almost as large, as large can get team (20:42) like J&J, it would be natural to say, Oh! My God, how you guys are going to compete against Johnson & Johnson? But actually, I think that's of no concern whatsoever. We have competed against comparably large companies for almost our entire life – excuse me, almost our entire life and successfully. For example, we competed against Pfizer for several years with our Adcirca product against their sildenafil product and we beat them hands-down despite the vast resources of Pfizer. Today, United Therapeutics has the larger share of patients with pulmonary hypertension on our drugs more than any other company and that's because of our successful ability to promote Adcirca against sildenafil despite the fact that sildenafil it after went generic is many times less expensive. So I would say if we can compete against Pfizer, we can compete against J&J successfully. But there's actually more. We have been competing against Bayer, one of the greatest pharmaceutical companies ever for – I don't know, I think about three years or so now as they have been promoting their riociguat drug in the pulmonary hypertension space. And we have far in a way, a much larger market share than has Bayer. So first of all, we are not at all concerned about competing against J&J because we've done that successfully with Pfizer and with Bayer. And frankly at times, when we were much smaller and with many few resources and approved products. So we've never been in a better fighting shape. The other reason I think it's really good is it lets the whole world know that pulmonary hypertension is an important area. Big companies like J&J don't go into unimportant areas. Our mantra at United Therapeutics has long been, identify the corridors of indifference and run like hell down them. That came from our General Counsel and I think he got it from his University of Northwestern Professor. In any event, J&J's mantra, I don't think it's been the corridors of indifference, it's been more of the corridors of importance, and so when they come in and plunk down $30 billion for a company, which is apples-to-apples, very comparable to United Therapeutics. For example, if you take a look at our profits, I mentioned in the beginning, we ended the year with $700 million in net income, more or less the same amount of net income that Actelion has, all this I'm going to say plus or minus $100 million or whatever. And Actelion revenues, they are a little bit larger than ours, but not that by that much. They are about 30% or so larger than our revenues. Products that are facing generic challenge, they've got two products: Tracleer facing – has already gone off patent; and Opsumit is going to face generic challenge from ambrisentan next year, and we got two products facing generic challenge with Adcirca and Remodulin. But actually, we've got, I think, a much stronger position, especially with regard to Remodulin as I talked at length during this call, the product has been effectively reinvented during the past couple of years with serious spending on R&D and it is a brand new second generation textbook example of make generic barbaric kind of example of what we should do is always reinventing products with the latest and best technology. And also I'll say that ours – in terms of Remodulin, a Part D product – I mean, a Part B product, excuse me, Part B as in Bravo product, very different type of generic profile than you see with Part D as in Delta product. In terms of things that are in the pipeline, Actelion's got five Phase III trials owned (25:42). We've got a comparable number of Phase III trials going. So, again it's pretty much apples-to-apples. So to have this pulmonary hypertension space validated by J&J at the $30 billion level, I think is a tremendous positive sign to all of the ecosystem of individuals, biotechnologists, companies, non-profits, hospitals, payers, everybody who's working on the pulmonary hypertension space has their activities to help save the lives of people with pulmonary hypertension validated by their (26:25) J&J Actelion deal. I think it's terrific. So with that overview, let me now open the phone lines to any questions for our Chief Financial Officer, James Edgemond or myself. Operator?
Operator: Thank you. And our first question comes from Liana Moussatos from Wedbush Securities. Your line is now open.
Liana Moussatos - Wedbush Securities, Inc.: Thanks for taking my question and congratulations on all your progress. The only question I have left now is what are the next products to enter the clinic? You've mentioned in the past eNOS gene therapy for PAH, RemoLiv for liver transplant tolerance and a bunch of other stuff. So what's coming in next?
Martine A. Rothblatt - United Therapeutics Corp.: Yes. Thank you for your question, Liana. So one of the – one I didn't have time to talk about but I think exemplifies of our (27:26) company's credo to conduct the most innovative clinical trials is this SAPPHIRE gene therapy for the treatment of pulmonary hypertension. This is being headed up by a brilliant physician, Mike Callahan, who is head of our Cell Therapy Division here at United Therapeutics. And what this product does, it's a textbook example of what's talked about nowadays is like personalized therapy, where your own cells are taken from your body modifying with some way and getting back to with therapeutic effect. And the general concept is somewhat old and people used to do what I would call minimal manipulation to the cells and I don't think that there were many interesting therapeutic results to come from that. But nowadays what are done are, what I would call, highly sophisticated manipulations of the cells and in our case we actually insert a new gene into the patient cells. This is the gene for eNOS, a nitric oxide synthase, which is you can see in assays from pulmonary hypertension patients is markedly reduced compared to normal. So we withdraw patients' serum through apheresis. We ship it to a centralized location where we have built a GMP cell engineering facility, all at the GMP standards, it's a gigantic machine, no people can get near it, and even the people who get in the same room have to be fully double gowned and all that kind of stuff. And then we transect the patients' cells with eNOS, using a lot of proprietary techniques. Then we ship them back to the cells because these cannot be – these cells cannot be left and let go outside the body for very long. So we've got a total for this entire therapy, we've got a 24-hour loop where we have to withdraw the patients' cells and get them back to the patients. And the patients are at hospitals across seven different major hospitals, across thousands of miles. So it's not a little bit of logistics involved in getting this all done. And then the autologous gene therapy is infused back into the patients. So this is a 45-patient study with cross-over arms, very innovative design, lead investigator is Dr. Duncan Stewart, one of the most famous names in pulmonary hypertension. And, Liana, our hope is to be able to – this is now in Phase III, so our hope is to actually get this therapy approved right at the very beginning of the 2020. Certainly, within five years from where we are right now. Next question, please?
Operator: Our next question comes from Geoff Meacham from Barclays. Your line is now open.
Evan Seigerman - Barclays Capital, Inc.: Hi, all. This is Evan on for Geoff. Thanks so much for taking the question. One on FREEDOM-EV, you had mentioned that you believe you'll be able to potentially accrue the number of events necessary for an interim look over the summer. I guess, could you just give us some more detail on the powering, and I guess the likelihood of success that you'll hit over the summer? And if you do, would you be able to potentially file for a label expansion soon thereafter?
Martine A. Rothblatt - United Therapeutics Corp.: Yeah. I think the answers to your questions are all pretty much in the affirmative. I do believe that we'll accrue to 154 by sometime during the summer. It's not a scientific arc here and it depends on ultimately Mother Nature really. So I wouldn't like – I wouldn't break that as a break line definitely positively, but that's the center of the curve based on the number of events that verified now (31:52). I'm just going to give you a ballpark figure. I would say that we are – we're within a couple of dozen – maybe a little bit more than that – events from that number. So at the current rate things are going, I think, that's a reasonable bet. Our confidence is – certainly, we did take a statistical penalty in order to take an interim look, so the confidence is not going to be as high as it will be when we reach the full – maximum number of events, which is in the 225 ballpark. So the confidence is a little bit less than that. But nevertheless, the confidence is pretty good and far above 50-50 for sure. So that's looking pretty positive and if the results are successful, then we could move forward with submitting for a label expansion.
Evan Seigerman - Barclays Capital, Inc.: And then...
Martine A. Rothblatt - United Therapeutics Corp.: Actually, it's not the right way to a label change. I'm going to preempt your follow-on because there is like this long queue behind you.
Evan Seigerman - Barclays Capital, Inc.: Okay. Thanks for taking the question. Appreciate it.
Martine A. Rothblatt - United Therapeutics Corp.: Next question.
Operator: Our next question comes from Mark Schoenebaum from Evercore ICI (sic) [ISI] (33:16). Your line is now open.
Regina Grebla - Evercore ISI: Hi, thanks for taking the call. This is Regina Grebla on for Mark. Back in the summer you mentioned looking at different companies in terms of possible M&A. Are you still open to M&A and can you provide some color on what you would be interested in? If not, do you think you can grow up your current revenue base without BD?
Martine A. Rothblatt - United Therapeutics Corp.: Thanks, Regina. So we are and I can't really go into a lot of details on like a gigantic conference call like this. But one of the main reasons why we did not re-up right away the stock buyback after we successfully completed purchasing the last tranche of – was it a $500 million – how many?
Unknown Speaker: $500 million.
Martine A. Rothblatt - United Therapeutics Corp.: Yeah. $0.5 billion share buyback which has – the shareholders on the phone, I think, will be very pleased to know that the average price of that shares bought back was...
Unknown Speaker: $119.
Martine A. Rothblatt - United Therapeutics Corp.: $119 a share. So, I think we did good for the shareholders on that buyback. But one of the reasons we've paused is, as you can see, we've gone much more aggressively on R&D and biz dev in the second half of 2016. And we are looking at opportunities that could use up substantially all of the borrowing authority or cash in the bank that we have right now. So we still would be very cautious about spending $1 billion plus on an acquisition. But if something looks to us like it's going to be accretive for our shareholders and specifically more beneficial than using that cash to buy back the shares, then I think it would be more sense to use that cash for biz dev. So, we are looking in – at biz dev opportunities that are even twice as large as the amounts that we've asked them for the buyback. Next question?
Operator: Our next question comes from Chris Shibutani from Cowen. Your line is now open.
Chris Shibutani, M.D. - Cowen & Co. LLC: Yes, thanks for taking the question. On the implantable pump and RemUnity as well, can you remind us what kind of commercial infrastructure you have in place and how we should be thinking about the pace of the ramp? I realize that in the past you've talked about being reluctant to give, kind of, quarterly metrics. But particularly during the initial year there are issues about just getting a physician started, commercial sales force in place, reimbursement. Just give us a sense for what you think the shape could be in that initial period so that we can help think about what the modeling implications will be? Thanks.
Martine A. Rothblatt - United Therapeutics Corp.: Yeah. Thanks for your question. If you don't mind, James, if you'd be willing, I'd like if – because you are a little bit closer to the reimbursement situation than I am, if you wouldn't mind, and I know you're briefed from the commercialization team on the RemoSynch startup phase and launch. Maybe if you could take this question?
James Christopher Edgemond - United Therapeutics Corp.: Sure, I'll be glad to. Hi, Chris, thanks for your note. I think the important thing is – within your question is to think about reimbursement, for example, RemoSynch. And from a reimbursement perspective, there are many reimbursement channels, and it's really difficult to predict exactly which channel a hospital or a physician will ultimately seek reimbursement. But we currently expect the codes for pain management really to be used for the pump and the reimbursement of the pump at this point. And so from a reimbursement perspective, we think what's existing and what is in place will be used by the physicians in the hospitals from that perspective.
Martine A. Rothblatt - United Therapeutics Corp.: Okay. Thanks, James. Next question, please?
Operator: Our next question comes from Terence Flynn from Goldman Sachs. Your line is now open.
Terence Flynn - Goldman Sachs & Co.: Hi. Thanks for taking the question. Maybe just, Martine, you mentioned the backlog of patients that could come off of some of the oral products and go on to your franchises in 2017. Can you be more specific about when exactly you expect that to happen? And then the second part of my question is just any thoughts on prospects of any changes to Medicare, I know there's a lot of commentary coming out of D.C. these days, but you did you mention Part B versus Part D drugs and differences but any thoughts just on changes to Medicare? Thanks.
Martine A. Rothblatt - United Therapeutics Corp.: Sure. So with regard to the rate, basically everybody in the pulmonary hypertension space is doing a little bit of a natural experiment in terms of rate of progression of patients on either AMBITION or on selexipag. The best data-driven result I would give you is to go to the well-controlled studies which for AMBITION, has been published in a leading journal and I believe Gilead is in the process of having it added to the Letairis label. So you can go there, and you could see specifically and quantifiably what percent of patients progress on the active drug. And you can do the same thing with the Uptravi label which from my recollection was about something like one out of 14% or 15% of the patients per year progressed. So, that basically at three to four years, half of the patients who had started selexipag have already progressed onwards. Generally speaking, clinical trials are best cases for drugs because patients are seeing doctors constantly, and they're being encouraged to stick with the protocol. So in real life, the results are almost always worse, that patients will progress on any given drug more rapidly than they will in the clinical trial. So all you have to do is just take that – those rates for AMBITION and for Uptravi and multiply them by the number of patients on those drugs, and then you will have the size of the backlog. Right now, I have been doing that kind of number crunching, and it looks to me that there is a backlog on the order of about 2,000 patients right now that will be progressing on to Tyvaso and Remodulin. Of course, not realistic that could I predict exactly which quarter in 2017 those progressions would occur. And as to the Medicare question, from – I'm no guru about healthcare policy or anything like that, but I do believe that United Therapeutics would be looked at as a pretty good poster child for anything that was being done on the Medicare side. For example, Remodulin, which is our principal Part B, as in Bravo, reimbursed drug, has not increased its price. We have not increased the price of Remodulin in five years. And that's well-known to all the DMERCs, which is the regional Medicare people who define these things, and much appreciated by them. So I think that whatever is going to go on at Medicare, I think it's quite unlikely that it would have an adverse effect on UT. Looks like we have time for one last question.
Operator: Our next question comes from Hartaj Singh from Oppenheimer. Your line is now open.
Hartaj Singh - Oppenheimer & Co., Inc.: Hi, thank you. Thanks for the question. Just want a quick question probably on your margin progression for the rest of the year with R&D, SG&A and then also Adcirca, potentially towards the end of this year. Any commentary there would be really helpful. Thank you.
James Christopher Edgemond - United Therapeutics Corp.: Hi, Hartaj, it's James. How are you?
Hartaj Singh - Oppenheimer & Co., Inc.: Good, James. Thank you.
James Christopher Edgemond - United Therapeutics Corp.: Good. Just from a margin perspective, I will kind of back into your answer by looking at budgets overall, which I think is part of your question about the significant increase we've talked about in R&D spend. But we develop our internal annual operating budgets not to exceed 50% of our prior year revenues. So regardless of the large number of clinical trials that we're starting, we're going to stay within that framework. And whether that framework kind of ebbs and flows between SG&A and R&D, we know from a budgetary perspective we're not going to exceed that metric. And so from a budgeting and control standpoint on costs, you can expect us to continue to grow revenues while managing our expenses and growing the bottom line.
Martine A. Rothblatt - United Therapeutics Corp.: Thank you very much, James. I would like to thank everybody for their participation in our 2016 fourth quarter and annual financial results. James and I look forward to meeting many of you at our upcoming Healthcare Conferences where we will be presenting, Cowen in Boston on March 6 and Barclays in Florida on March 14. Operator, you can conclude the call.
Operator: Thank you for participating in today's United Therapeutics Corporation Conference Call. A rebroadcast will be available for replay one week by dialing 1-855-859-2056, with international callers dialing 1-404-537-3406 and using access code 59599305.